Operator: Ladies and gentlemen, thank you for standing by. Welcome to QIAGEN conference call to discuss results for the third quarter and first 9 months of 2013. [Operator Instructions] Please be advised that this call is being recorded at QIAGEN's request and will be made available on their Internet site. [Operator Instructions] At this time, I would like to introduce your host, John Gilardi, Vice President of Corporate Communications at QIAGEN. Please go ahead.
John Gilardi: Good afternoon, and welcome to our conference call today. Our speakers are Peer Schatz, the CEO of QIAGEN; and Roland Sackers, our CFO. A copy of this announcement and the presentation for this conference call can be downloaded from the Investor Relations section of our home page at www.qiagen.com. On Slide 2, you see the customary disclaimer. This discussion and responses to your questions on this call reflect management's view as of today, October 30, 2013. Today, we will be making statements and providing responses to your questions that state our intentions, beliefs, expectations or predictions of the future. These constitute forward-looking statements for the purpose of our safe harbor provisions. They involve risks and uncertainties that could cause actual results to differ materially from those projected. QIAGEN disclaims any intention or obligation to revise any forward-looking statements. For more information, please refer to our filings with the Securities and Exchange Commission. Before I hand it over to Peer, I would like to remind you about our Investor Day on November 18 in New York. You can find more information on our website about this event, or please also contact Angela Schmidt. We're planning a comprehensive overview of our strategy and to provide deeper insights on our growth drivers, and these include QIAsymphony, QuantiFERON, TB, our Profiling franchise and our next-generation sequencing initiatives. We look forward to your participation. I'd like to now hand over to Peer.
Peer M. Schatz: Thank you, John. Hello, and welcome to our third quarter conference call in which we will discuss our results and our progress on goals we set for 2013. We are pleased with our results for the quarter, having exceeded our communicated targets. Adjusted net sales were $323.8 million and grew 7% at constant exchange rates, which was ahead of our 6% target. Adjusted earnings per share were $0.28, and this was also ahead of our target for $0.27. We are focused on achieving our full year guidance despite the challenging macroeconomic conditions, and this target remains for adjusted sales growth of about 5% on a constant exchange rate basis and adjusted EPS of $1.13. The results of the first 9 months of the year show our progress in terms of adding value. We are extremely pleased to report that we recently broke through 1,000 cumulative installed systems for the QIAsymphony automation platform, and this is an important milestone for us in achieving the industry's fastest ever uptake of a molecular testing platform. The milestone was achieved ahead of our target. We see significant untapped opportunities ahead of us in terms of placements, and we also continue to see robust double-digit growth on consumables. The recent launch of a new QIAsymphony test in Europe, one for the detection of CT/NG or Chlamydia trachomatis and Neisseria gonorrhoeae is the last signal of our progress. In Personalized Healthcare, we have begun the U.S. rollout of our therascreen EGFR companion diagnostic kit after FDA approval in July. Reimbursement discussions have been very positive and we again see premium levels for the validated or FDA-approved test just like we got with KRAS. We have also reached several new agreements for companion diagnostic co-development projects during 2013 and have the largest pipeline ever. One such collaboration was actually announced last week involving a new framework collaboration in details on the first project with Clovis Oncology, and we anticipate making more announcements this year. Our next-generation sequencing initiative is moving ahead on many fronts, and we have news to share today. Our ambition is to offer a broad portfolio of products and services to drive the use of this breakthrough technology in clinical research and diagnostics. We have a 2-pronged approach in the NGS market. First, we're offering many products as universal solutions. In other words, they can be used on any NGS detection platform. Second, we are also advancing our own GeneReader benchtop sequencer, which will use these products as well but integrate them into a seamless work stream from QIAGEN, as we say, from sample to insight. For example, as part of this initiative, today we are also announcing the acquisition of CLC bio, one of the world's leading bioinformatics software developers. CLC is a company that has created a strong leadership position with proprietary algorithms and platforms that accelerate the analysis of biological data, in particular the analysis required to create variant calls from data generated by next-generation sequencers. And this is just one of the many features. The addition of CLC bio means that we have now brought together the key core elements needed for NGS program, enabling QIAGEN to offer complete solutions from biological sample to valuable molecular insights. CLC bio and Ingenuity are very complimentary, and the combination of the 2 further strengthens our ability to create a unique experience for our customers to a seamless link of these engines for data analysis, interpretation and reporting. These transactions support our conviction that customers want more than just a lot of data from sequencing. They want a complete high-quality workflow that provides the most powerful insights. In terms of the NGS portfolio, we continue to make rapid progress on developing our ecosystem of products and services, and remember that this includes an expanding range of gene panels, pre-analytics to extract high-quality DNA material, and also the GeneReader benchtop NGS workflow. A key initiative in 2014 will be the broad commercialization of the broad portfolio, including assays and also the GeneReader to complete the samples-to-insight experience. Feedback from alphabetic customers is positive, and we are on the right track with our paced launch as outlined in the beginning of the year. We're aiming to release systems to further select customers later in 2013, and are preparing for broad commercialization in 2014. In summary, we have the capabilities, resources, focus and the employees to continue the transformation of QIAGEN. I'm now on Slide 5 to provide an overview of results for the 4 customer classes. I think it is fair to say that we are very pleased with the strong double-digit growth in Molecular Diagnostics. The growth rates in Academia and Pharma are slower due to sequestration and ongoing sluggish conditions in some markets that have mentioned -- are being mentioned also by other companies. Molecular Diagnostics again led the performance, delivering double-digit constant exchange rate sales growth in both instrumentation and consumables. These results show the increasing contributions of our growth drivers, which provided 34% of sales and rose 16% on a constant exchange rate basis. In Prevention, the QuantiFERON latent TB test is one of these growth drivers and continues to grow above 20% constant exchange rate. Personalized Healthcare is another growth driver. Within this area, there are different growth dynamics. We again saw higher sales of companion diagnostic kits, but revenues from pharma co-development projects were down sharply from the third quarter of 2012. This is not indicative of the pipeline, which is actually broader than ever, but due to the fact that milestone payments can be volatile and they are part of our business. As years -- after years of investment and expansion, today, we have the critical mass of partnerships so we can manage the changes that are to be expected with pharma R&D projects, and these projects provide us with important differentiated new products for QIAsymphony and our GeneReader NGS solutions. Our Profiling portfolio, also an important growth driver, has been expanding at a solid pace, supported by rising sales contributions from QIAsymphony consumables and instrument placements. As I mentioned, QIAsymphony placements are growing at a double-digit pace, and there's a solid opportunity to maintain the current pace of about 200 to 250 new placements a year for the foreseeable future. Also included in our Molecular Diagnostics area is our portfolio of products for screening women for the human papillomavirus, or HPV, and the risk for cervical cancer. Global sales of these products were up in the third quarter of 2013, rising 3% CER and providing 17% of total sales. Sales outside the U.S. are showing strong growth, well in the double digits, benefiting from successful implementation of screening programs during the third quarter of 2013, and these are part of our business as well. Clearly, the U.S. pricing declines are impacting the overall revenue in this area, and so on a year-to-date basis, our global HPV franchise sales are down about 6% on a CER basis, and we continue to expect about a 10% decline in HPV sales for 2013. The challenges for this product are in the U.S., where we are facing significant pricing pressures as new competitors seek some market share gains with what are typically clinically inferior products. We continue to be very competitive and have a solid leadership position. The sales decline in the third quarter of 2013 in HPV was in line with our expectations and the year-to-date reduction in sales is similar to our full year estimate. As for 2014, we continue to expect U.S. HPV sales to provide less than 10% of total sales. Before moving on, I would like to note that Ingenuity revenues were booked in Molecular Diagnostics, as well as in Pharma and Academia. In the Life Sciences, all customer classes grew despite challenging macroeconomic trends, particularly ahead of the U.S. government shutdown. Applied Testing sales rose at mid-single-digit CER rate, overcoming the outstanding instrument sales a year ago in 2012. Pharma maintained the low-single-digit CER growth rate and was led by the Asia Pacific/Japan region. The impact on Pharma industry restructuring is evident on this customer class. Academia sales were slightly higher in the third quarter, with emerging markets more than offsetting the ongoing cautious spending patterns among customers in the U.S. and partly also in Europe. In the U.S., sales remain under pressure due to sequestration, and we obviously felt a slowdown in September ahead of the U.S. government shutdown. As for the full year impact of the shutdown on our fourth quarter results, you can see that we have reaffirmed our full year targets. I would like to now hand over to Roland.
Roland Sackers: Thank you, Peer. Good afternoon to everyone in Europe, and good morning to those joining from the U.S. I'm now on Slide 6, and would like review our results for the third quarter of 2013, which were ahead of our targets. Adjusted net sales were USD 323.8 million, representing a 7% constant exchange rates growth and ahead of our target for 6% constant exchange rate growth. About half of our sales growth came from Ingenuity and half from the rest of the portfolio. Currency movements had an adverse impact of about 1 percentage point, and this was due to the yen. The adjusted gross profit margin was steady at about 72% and we continue to benefit from the mix towards more consumables and also from the recently completed efficiency programs. Adjusted operating income rose 5% to USD 87.7 million, supporting major investments in R&D which were higher than in the year ago period as well as in sales and marketing as we ramp up our activities' onward growth drivers. We are also absorbing cost in making investment in Ingenuity for which we are facing dilution of about 100 basis points in 2013. The adjusted operating income margin declined at 2 basis points and rounded out to 27% of sales. The tax rate in the 2013 quarter came in at 80%, and this was generally in line with our target. The outcome is an adjusted EPS growth $0.28 and ahead of our target for $0.27. I'm now on Slide 7 to give you an overview on all regions delivering growth at single-digit constant exchange rate rates. A key growth driver was our performance in the top 7 emerging markets, which together, grew 38% and provided about 15% of adjusted net sales. The strongest growth came in, in Latin America, with China and India also delivering significant gains. These 2 countries brought the Asia Pacific and Japan region, which now accounts for 19% of total sales, with improving results in all customer classes. Japan sales, however, were largely unchanged as stimulus programs have not yet emerged. In Europe, net sales rose 4% constant exchange rate-wise at a faster pace than earlier in the year. Important contributions came from the United Kingdom, Turkey and the Nordic region, as well as from Germany and Italy. Molecular Diagnostics and Applied Testing showed the best results in the region, but life science funding remains an issue, particularly in Southern Europe. The Americas grew 8% constant exchange rate and contributed 50% of net sales, with Mexico and Brazil up on large customer sales for HPV screening. The U.S. showed gains from the Molecular Diagnostics growth driver's providing important in-process [ph]. I'm now on Slide 8, and will provide a few comments on consumables and instruments. Consumables and other revenues provided about 88% of total sales, rising 8% constant exchange rate in the third quarter on growth in all customer classes, particularly with double-digit constant exchange rate growth in Molecular Diagnostics. Revenues from instruments contributed about 12% of total adjusted net sales, largely unchanged compared to the same period in 2012. However, sequentially, this performance shows improving trends from declining instrument sales in the first quarter of the year, which is indicative of the growth in QIAsymphony placements and the multi-year rigid [ph] rental agreements. Capital spending trends continue to weigh on our instrument sales among customers in Academia and Pharma, while Applied Testing return to growth. I'm now on Slide 9 to review our year-to-date results for the first 9 months of 2013. Adjusted net sales rose 4% constant exchange rate-wise to USD 943.7 million, again, with about half of growth coming from acquisitions and half from the rest of the portfolio, the same time off-street [ph] we saw in the third quarter. Currency movements had little impact on reported sales, but we're expecting about a percentage point of headwind on full year 2013 results. Adjusted operating income was largely unchanged at about USD 249.5 million, showing that the improved profitability in the third quarter compared to results for the first half of the year. The adjusted operating income margin was actually at 26.4% for the first 9 months of 2013 compared to 27.6 months (sic) [27.6%] for the year ago period, and our goal remains an adjusted operating income margin of about 28% for the full year. As we have said, this takes into account about 100 basis point dilution from the Ingenuity acquisition and related investments. Moving down the income statement, adjusted net income rose 5%, with a lower tax rate for 2013 actually at the high end of our target range and adjusted EPS of $0.78 per share. I'm now on Slide 10, and here's an update on our financial position. It remains very healthy as we invest in the business, such as through the acquisitions of Ingenuity, while also increasing the terms, such as through the launch of a new share repurchase program in September totaling USD 100 million. As of September 30, 2013, we have liquidity of USD 356 million and our net debt was at a reasonable level of USD 508 million. Leverage has moved up slightly to about 1.2x of net debt to adjusted EBITDA, so we continue to have flexibility to support business expansion and increase returns. Our cash flow performance has been improving during the year, with QIAGEN generating USD 60 million in the third quarter of 2013 and bringing year-to-date free cash flow to USD 121 million, up from USD 107 million in the first 9 months of 2012. This has to be seen in the light of the restructuring charges taken in 2013, which I expected to result in an adverse impact of at least USD 60 million for the year. But given our expectations for no material restructuring charges in 2014, we see opportunities for significant improvement next year. I would like now to hand it back to Peer.
Peer M. Schatz: Yes, thanks, Roland. I'm now on Slide 11 to provide some insights on the success of the QIAsymphony automation platform and QIAGEN breaking through the key milestone of 1,000 cumulative placements. The reasons for the uptake are the unique value proposition of the QIAsymphony. Customers are reacting very favorably to the QIAsymphony being the only modular system offering random access, continuous load, sample-to-result processing for both commercial assays, as well as for laboratory-development tests, LDTs. In addition, the 1,000th QIAsymphony that we placed is a nice example. It is used in a pathology lab doing therascreen companion diagnostic assays, Ipsogen, hematology/oncology assays, artus, virology assays as well as PCR base, LDTs and sample preparation for next-generation sequencing. This flexibility is a need that other systems are not able to address. What you see from competitors are screening systems that can only handle a few commercial assays as sample types and not the LDTs, which can be more than half of the test volumes in typical molecular diagnostics lab. So we are pleased with our progress and are continuing our goal for 200, 250 annual placements per year. Moving to Slide 12, here you see an overview of our current menu of Molecular Diagnostics assays and also some of what we are working on in terms of potential submissions. We have 21 CE-IVD assays for use in Europe and other areas of the world. This chart shows only some of the content we have which is the broadest in the industry, and our ambition is to keep expanding across these franchises. In the U.S., 2012 was an important year as we gained approvals for the Rotor-Gene Q PCR cycle and the artus Influenza and therascreen KRAS assays. In terms of potential submissions, we have a full development pipeline. These are also a mix of internal activities, as well as some external collaborations. A key priority of the R&D teams and our partners is expanding the menu especially in the United States, so you will be hearing more from us during the year in terms of regulatory submissions and clearances in the future. I'm now on Slide 13. As I mentioned earlier, we are moving ahead at a rapid pace with our next-generation sequencing initiative targeting clinical research and diagnostics. We've been developing this workflow with clinical research and diagnostic customers as our top priority and addressing their needs. As I mentioned earlier, our portfolio involves a 2-pronged strategy. First, the broad range of products and services, and this includes universal solutions that can be used on any sequencer or with any sequence data; and second, a complete GeneReader integrated streamline workflow. And our actions to take the lead in bioinformatics, in particular analysis and biological interpretation, will be a key differentiator. We are moving ahead to create seamless solutions for our customers to drive science, drug development and clinical diagnostics use. And doing so will position QIAGEN as a unique player in the segment. I'm now on Slide 14 to discuss CLC bio and how this strengthens our offering in bioinformatics. We're very excited to have the employees of CLC bio joining QIAGEN through the acquisition. CLC bio is the global market leader in bioinformatics analysis, offering a proprietary platform that enables customers to rapidly analyze, compare and visualize complex data generated by all major next-generation sequencing platforms, using more than 200 different integrated data analysis tools and with the ability to integrate third-party applications in an app store-type concept as well. As part of the analysis workflow, insights can be gained by leveraging CLC bio's analytics combined with Ingenuity's interpretation. CLC has 2 main products. CLC Genomics Workbench is a user-friendly desktop application that offers more than 200 data analysis tools for any organism. The second product is CLC Genomics Server, which is an enterprise-level platform for rapid and efficient analysis of data from any organism. We see dynamic growth opportunities for these products and bringing them into our emerging portfolio of NGS products will greatly enhance our overall offering. I'm now on Slide 15. This slide provides some perspectives on the powerful solutions offered by CLC, and how these user-friendly and scalable solutions anchored by CLC Genomics Server do rapidly analyze and visualize any sequencer data from any organism. A key point is that CLC's technologies are used for analysis of any organism by their customers, which span from research to clinical areas, but also in areas beyond human health care, such as plant science. As for some anecdotes about the market adoption power of CLC solutions, more than 1.5 million downloads have already been completed of the software to over 250,000 unique users around the world at over 2,300 different organizations. 250,000 unique users. The largest genome ever-published, a 21 gigabases Norwegian spruce tree, was analyzed using CLC bio software and published in Nature in May 2013. As a comparison, a human genome involves about 7x less giga -- data, about 3 gigabases of DNA. And on the technology side, CLC bio partners with organism -- organizations like Intel, IBM and Oracle and many others. I'm now on Slide 16, which shows how we are building on the strength of QIAGEN, CLC bio and Ingenuity to strengthen our leadership in bioinformatics and our overall NGS workflow. This acquisition is a natural, logical step after Ingenuity, and together, they enable QIAGEN to create a complete and seamless workflow. In a simplified explanation, CLC bio's products begin with a data generated by the sequencer, taking care of assembly steps before performing very complex analysis to call the variant or what is interesting in the data set. With the output of this variant calling step, which can be a VCF file, customers can use Ingenuity solutions for interpretation and reporting. No other supplier has a workflow covering this complete workflow, especially in terms of the dry lab bioinformatics offering that is seen as a key bottleneck to adoption of NGS in clinical research and diagnostics. I'm now on Slide 17 and here, you see an update on Ingenuity solutions and in particular, recent announcements that back up the view that they are becoming the gold standard for biological data interpretation. Ingenuity offers the deepest and broadest understanding of biology compared to competitors. The superior quality of this content has been built up with massive investments over more than a decade, and involves scientific experts and key opinion leaders who manually curate and ensure quality control. This quality stands out well ahead of any other product and has a major impact on the quality of interpretation, even minute quality advantages and our quality benefits are actually very significant. Even minute differences can lead to significantly increased reproducibility and scientific or clinical interpretation, especially if customers are mining millions of data points. So we see Ingenuity's knowledge base and intuitive applications providing a sustainable competitive advantage for years. With more than 4,000 users representing over 500 leading institutions, variant analysis is enjoying rapid uptake in research and clinical areas, and this goes far beyond oncology. Among the new customers is the Genetic Testing Laboratory at the Icahn Institute for Genomics and Multiscale Biology at Mountain Sinai in New York, which has adopted variant analysis for research and translational genomics applications related to characterizing and identifying rare diseases. We also have a new collaboration with the Center for Applied Genomics at the Children's Hospital in Philadelphia, involving a large-scale NGS study to identify causative variants in rare childhood diseases. These are just 2 among the many, many new uses of variant analysis, which is clearly becoming the gold standard in biological data interpretation and answering a critical need of customers looking for better ways to make sense of biological data. I'm now on Slide 18. We recently announced an important new partnership with Clovis Oncology, which has significant -- which has significance for a variety of reasons. First, this is another of the framework agreements that we are reaching with pharma partners to develop a series of companion diagnostics. Second, this announcement shows how our tests are setting industry standards. In this case, many of you know that this companion diagnostic project was originally planned with another diagnostics provider and had been widely announced in 2011. However, with the FDA approval of our therascreen EGFR companion diagnostic, a critical differentiator merged with our test as this is covering more mutations and in particular, T790M, the most prevalent resistant mutation on non-small cell lung cancer patients, that led to a selection of our therascreen test. This was a key factor in this new collaboration, one that we see as adding to our reputation for having the industry's leading portfolio. Others have recognized the value of our EGFR test and also FDA-approved KRAS test as well through the premium reimbursement in the United States and in the United Kingdom, both tests have received positive recommendations from the National Institute for Health and Care Excellence, or NICE, and draft guideline recommendations. These collaborations span real-time PCR. These collaborations in companion diagnostics with our pharma partners span real-time PCR and next-generation sequencing technologies and we are well-positioned to offer the broadest range of biological content, detection technologies and bioinformatics for any testing needs. I'd like to hand now back to Roland.
Roland Sackers: Yes thank you, Peer. I'm now on Slide 19 to review our guidance for the fourth quarter and the full year 2013. We have reaffirmed full year guidance for adjusted net sales growth of about 5% constant exchange rate-wise. This is based on about half coming from manager [ph] being treated as an acquisition through May 2013 as well as from Ingenuity, and the other half coming from the rest of the business. For adjusted diluted EPS, the guidance remains at $1.13 per share. Our guidance for the fourth quarter of 2013 is for adjusted net sales growth of about 6% constant exchange rate-wise, with about half of growth coming from Ingenuity and half from the rest of the portfolio, and for adjusted diluted EPS of approximately $0.35. The contributions from CLC bio for 2013 are very modest for the quarter. The slide also contains assumptions for adjustment to results for the fourth quarter on the expect [ph]; share-based compensation of about USD 10 million; about $30 million for amortization and acquired intellectual property; about $20 million to $25 million for business integration, acquisition and restructuring items on pre-tax operating income. Of this amount, we expect about USD 15 million to USD 20 million for residual construction cost from the efficiency project. The adjusted tax rate is expected to be about 17% to 18%, and this compares with a sequential tax rate of 23% in the second quarter and 18% in the third quarter of 2013. For the full year, we expect share-based compensation of about USD 37 million, and I want to remind you that we are not going to adjust for this cost starting in 2014. About USD 150 million for amortization of acquired intellectual property and about USD 130 million to USD 135 million for business integration and acquisition restructuring costs and of which, about USD 110 million to USD 150 million were for restructuring, and these types of charges are not going to be adjusted for us starting in 2014, as well. The adjusted tax rate is expected at about 20%, which compares with 21% in 2012. With that, I would like to hand back to Peer.
Peer M. Schatz: Yes, thank you, Roland. I'm now on Slide 20 for a quick summary before we move into Q&A. Our results show the ability of QIAGEN's development [ph] challenging conditions through discipline and focus on creating value. We are making progress on our initiatives to accelerate innovation and in particular, growth, and we have reaffirmed our plans to deliver improved sales and earnings for the year. This commitment to improving sales growth is accompanied by focus on improving earnings and cash flow as well, and we're also improving returns, such as through the launch of a new 100 million share repurchase program earlier this quarter. Let me review what we have announced. We exceeded our targets for the third quarter in terms of sales and adjusted earnings growth. We have reached a key milestone by exceeding 1,000 cumulative placements for the QIAsymphony automation platform and see significant untapped opportunities ahead. Our next-generation sequencing initiative is moving ahead on multiple fronts. We have announced the acquisition of CLC bio, which provides QIAGEN with global leadership in biological data analysis and highly complements the gold standard biological data interpretation from Ingenuity. The rapid uptake of Ingenuity Solutions confirms our conviction that integrating the gold standard for biological interpretation is a crucial differentiator in our NGS product portfolio. On the NGS workflow, we are working with early-access customers in alpha/beta testing, and we're preparing for the planned phase launch and then broad commercialization 2014. And the launch of our second $100 million share repurchase program announced in July, is a signal of our commitment to using our solid financial position to strengthen our business, as well as to increase returns. In closing, we have reaffirmed our full year 2013 guidance and delivering on our goals for innovation and growth during 2013. With that, I'd like to hand back to the operator to open up for the Q&A session. Thank you.
Operator: [Operator Instructions] And our first question today is from Daniel Wendorff from Commerzbank.
Daniel Wendorff - Commerzbank AG, Research Division: Daniel Wendorff from Commerzbank. One question and maybe one follow-up question. And first of all, on the development you're currently seeing in the pharma and academic research customer segments, can you potentially comment on what you expect in Q4 potentially going into 2014 and as a momentum? And a short follow-up question, the dilution on the adjusted EBIT margin coming from Ingenuity in the 100 basis point, is that said something we should also expect for Q4 when comparing it with Q4 last year?
Peer M. Schatz: Thanks, Daniel. I'll take the first part and hand over to Roland for the second. The developments in Academia are very difficult to extrapolate because we clearly have some major impacts in this area in 2013. So we had sequestration, we had now some -- all these complexities around the budget creation for 2014 and the temporary releases now and the shutdowns, so this has been a very choppy time for Academia. It's very difficult to predict what we will see in 2014, with increased certainty with a solid budget even at a low growth rate, there is hope for some improvement in that area, which is clearly a low-growth area at the moment. U.S. Academia sales are somewhat in the range of 12%, 13% of our sales base, so it's not a huge exposure that we have but one that we are monitoring. So I wouldn't expect anything very different in '14, '13 yet, but with important milestones coming up, this could change. Pharma is an area that we want to look at more closely. To be very frank, we think we have more potential in Pharma than what we are delivering on now, and we're looking at new ways to enhance growth in Pharma. Consolidations remain headwinds. The increased integration with the bioinformatics where you have users and some of the hundreds of users across the company that you can link into reagent flows and insurance opportunities, plus also the link into companion diagnostics, is creating new opportunities for us. Roland?
Roland Sackers: Yes. Hi, Daniel. The long answer is, yes, so we clearly continue to invest Ingenuity, and as we said in the press release earlier this year, it is clearly, in effect, to see for the full year 2013, clearly seeing a quite significant revenue impact over the course of 2014, mitigating some of this dilution, nevertheless, for the fourth quarter exactly as you assumed, we have the similar impact.
Operator: And our next question is from Zarak Khurshid from Wedbush Securities.
Zarak Khurshid - Wedbush Securities Inc., Research Division: Just curious, Peer and Roland, on the robust QIAsymphony placements. Can you speak to utilization on those instruments? How should we be thinking about consumable pull-through going forward?
Peer M. Schatz: Sure. Utilizations have been going up, and they're very different across the different regions, though. So in the U.S., the majority of the revenue base and pull-through is on deteriorations and components associated with LDTs. The situation is very different in Europe with 21 assays as you have seen from this. I think this is something that is often underestimated. Our menu breadth is far ahead of anything that anybody has in Europe and it's several times larger than the broadest menu that is available in the States. So the menu for us to address of the commercial asset is definitely driving the growth rates in Europe and blood virals and companion diagnostics and hematology are definitely leading the pack there. The utilization rates are moving up. We said that theoretical utilization of the system is in the high hundreds of thousands of dollars at very high utilization. The -- we said that we probably would see numbers somewhere between 150,000, 200,000 over time. We're not there yet, so we still have a lot of room up. We might be somewhere in the range. If you take an average, it's difficult. In Europe, it's well above 100,000. In the States, it's below 100,000.
Zarak Khurshid - Wedbush Securities Inc., Research Division: Fantastic. And then as a brief follow-up regarding the QuantiFERON franchise, obviously, very strong growth there. How should we be thinking about the current penetration of that product in the United States and other geographies? What sort of inning are we in? And how big can this business be?
Peer M. Schatz: Sure. Also here, the regional difference is based on the type of application or the type of screening program that is run. So in Japan, where broader-based screening is being done, the penetration is higher, and the U.S., the penetration is very low. In theory, we all know that about 55 million skin tests are done every year, and we are currently, if you look at the revenue base that we have, we're in the low single-digit millions of tests that we are currently selling. So this would indicate that there is a major headroom and many, many years of growth opportunity in front of us. We have the ability to scale. So unlike other products, we can offer high throughput automation that allow an institution, a laboratory, a hospital to run hundreds of samples, and this is not possible with any alternative offering. So we are quite excited about further penetration opportunities.
Operator: And our next question is from Vijay Kumar from ISI.
Vijay Kumar - ISI Group Inc., Research Division: So maybe my first one for Sir Peer. Clearly, your M&A strategy has been successful. You had AmniSure and Cellestis being in January all sort of coming in above expectations. And I want to dig in on the sequencing for -- on the informatics side, right? In January, I think when you look at those, the expectations was 20% kind of growth there should imply $25 million of revenues for next year. We're clearly at the $40 million run rate. A, what is driving this trend? And how should we think about growth on the informatics side going forward? And I guess, are there any implications for CLC bio now?
Peer M. Schatz: Sure. Well, we think that the availability of tools that allow the generation of a lot of data that, that will drive a necessity for more powerful and standardized analyses and interpretation solutions. So as compared to the emergence of data processing technologies 4 years ago, the majority of the data processing software solutions were typically home-brew, self-developed solutions in institutions that have the capability to do that. But with the increased dissemination of powerful tools, you saw commercialized software packages emerge, standardizing a broad range of different applications and democratizing the use of these powerful new technologies, and this is exactly what we expect to see in bioinformatics as well. The majority of the market today is doing home-brew, self-developed tools and using them and successfully also, but it is very difficult to scale. And the solutions we have, both through use of cloud technologies, but also through the availability of enterprise-level solutions now, we have -- we're offering off-the-shelf package software solutions that allow almost overnight turnkey installations of highly -- of the most advanced data analysis and imitation [ph] solutions in almost any laboratory. So this means that this market in bioinformatics, which maybe $100 million today, is only the commercial tip of the iceberg and is dwarfed by the expense and the efforts that are currently being employed to home-brew solutions that we think, over time, will increasingly also -- not completely obviously, but increasingly also turn to standardized, off-the-shelf solutions. And we're there with I think a very, very nice offering.
Vijay Kumar - ISI Group Inc., Research Division: Great. And maybe one quick housekeeping question for Roland. On the restructuring, Roland, what was the breakout between sales and marketing, G&A and R&D?
Roland Sackers: For the full year, we expect it really to be -- actually, they are different operational expense lines. We clearly see a larger positive impact on the sales and marketing side for the second part of 2013, as this was clearly one of the areas where we, I would say, did it very phased, very controlled, where, on the M&A [ph] situation side, we have seen a larger impact already moving into 2013 in terms of positive contributions. So I would say, it's fairly spreaded R&D. I would say also, made a long-term [indiscernible] very comfortable with 11% of revenues going into R&D, where, at the same time, we expect sales and marketing expenses, as a relative number coming, down and giving us leverage moving into 2014.
Operator: And our next question is from Patrick Donnelly from JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: It's actually Tycho here. First one, I guess, on NGS. Can you talk about timing for CE mark? And then I think you'd also maybe intonated in the past, you might consider introducing the QIAcube NGS module first as a stand-alone, so can you maybe talk about how you think about bringing that to market? And then lastly, do you have all the pieces you need for from a workflow perspective? And can you also maybe just talk on the SAP agreement, and where that stands?
Peer M. Schatz: Sure. So if you look at the -- if you look at the GeneReader workflow today, we have, obviously, an extremely strong position in extraction, and we will be talking about some exciting new sample to purify nucleic acid innovations that we will be bringing forward specifically for next-generation sequencing. We have some quite interesting and, some cases, startling new discoveries there. And the second step in the enrichment assay panels, we were moving to 20 assay panels this year to GeneRead assay panels. They're all linked into Ingenuity Knowledge Base interpretations are really differentiated capability. The library preparation steps as well, that is pretty much what we already have today that looks very good. The sequencing step is in light of all of these things actually quite straightforward. Application, that's one we are -- we have in the late stage of development. And if you look at the bioinformatics, the generation of a FASTQ file, we have been working on that for several years now. We have a very good solution, we think. We are further strengthening that with some algorithms and CLC. CLC brings to us, then, the FASTQ to VCF file generation also beyond that, but that is a core expertise, the FASTQ to VCF. And then from VCF to interpretive results, Ingenuity has a spectacular leadership there. So in theory, we have all the pieces now to put everything together, and we're assembling that. And now with the addition of CLC, which we're very proud and excited to have now, we're clearly now using this time also to make sure that the CLC portfolio is perfectly linked into the GeneRead assays and also the GeneReader system. In terms of...
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Go ahead.
Peer M. Schatz: Sorry.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: I was just going to add timing for CE mark and then potentially, when we can start to see some customer data?
Peer M. Schatz: Sure. So the -- we've always been very open that the solution that we are bringing to market should have a CE and also an IVD track, and we have been very diligent about making sure that everything we do also allows us to move in that direction very swiftly. So we're not talking years after launch. This is something that should happen near term. And we want to have a very stable system and one that also has several years of launch activity in front of it, which is a problem. Most systems are now being CE-marked or IVD-approved, and a month later, the software, the reagent change and then all the effort was basically useless. So what we're trying to do is to create a certain degree of stability, but that should coincide very closely with the launch. So I'm talking around your question, I know, but we haven't announced a clear date on that and we will be coming out with that shortly. And data on the system is something that -- I know everybody would like to see that, but we are going to a bring that to our customers first. We have several events that, as we always said, would be a crescendo of information. We have an upcoming AMP event, we have AGBT, we have several important investor conferences also in January and we want to make sure that we have a nice flow of news that we can provide to you. The data per se on the sequencers is now driving the customer discussions. What is blowing customers away right now is our ability to take the data generation from a blood tube into a report that can be put into an envelope and that potentially can even create a reimbursable event. That is something that we clearly are poised to be able to offer, and I think that will be a differentiator.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Yes. And then, do you think KRAS media [indiscernible] primarily get done on assays and then reflex to NGS? And I guess, last question, how do you think about that dynamic between assays and NGS?
Peer M. Schatz: I think that's an excellent point, Tycho, and that's how these products fit together. I think some of these assays will be reflexed into NGS. Some will be NGS on a primary and some will only be PCR. So there were recent papers written on prints in some hematological cancers that people think that NGS might be an option, but it has been clearly shown that it is clinically and economically not justified to do that. So you'll probably screen on PCR, and if at all, then reflex. Other types of diseases you might see go NGS. So I think having the availability of PCR and NGS under one roof gives us an enormous differentiator in the clinical market because we -- we're basically objective and we'll try to provide what is economically and clinically the best solution. It will be very different for different diseases and for different reimbursement environments.
Operator: Our next question comes from Mr. Bill Quirk from Piper Jaffray.
William R. Quirk - Piper Jaffray Companies, Research Division: First question for me, I guess, kind of staying on the timing side of things here, Peer. You talked about the deep pipeline within Symphony. Can you help us think a little bit about timing around things like moving HPV there, chlamydia, gonorrhoeae, HAIs, perhaps even the virals, as well?
Peer M. Schatz: Sure. You saw from the slide that we presented in January of this year, and we have a different version of the portfolio comparing it to competitive offerings in the market now in this deck that we shared today. There's a lot going through the pipeline. We have some near-term launches that, if I recall the dates that we announced last January, so we have some near-term launches in the HAI and also in some of the women's health areas in the U.S., as well. In Europe, the launch of our CT/NG assay was done in the third quarter. We're getting great uptake. It's a dual-target CT assay with NGS also packaged in, so we're targeting both the genomic and the flat targets and CT in a very unique way with great sensitivity. So we've seen good uptake on CT/NG already in the third quarter in Europe. And this is one that we're also bringing forward to the States, and that will be something that will be in clinicals next year. So we're chugging along, and I guess we'll have a handful of submissions overall this year at the company and maybe a tick more even next year in the U.S. And we also have the CMV assay still in front of FDA right now with the final module being submitted, hopefully this year. That was a very long process due to the complexity of that target, but the assay looks fantastic. We're quite bullish [indiscernible].
William R. Quirk - Piper Jaffray Companies, Research Division: Very good, very good. And then just a follow-up on an earlier question around QuantiFERON. Obviously, really open-ended opportunity here, given the low penetration rates, particularly in the States. Can you talk a little bit, Peer, about how does the trajectory of this change, if at all, once we see the improved supplies -- tuberculin for the skin test to come back in the market? And then if you have any sort of update or guesstimate as to when we might actually see that old technology coming back?
Peer M. Schatz: Sure. Once people have started using QuantiFERON, we typically don't see them flipping back, because the ease of administration and the hospital network, the quality of the product, the digital output, it just makes it so much easier for the physicians. So from that perspective, you might lose a few back to TST, but there's no cost advantages, certainly no clinical advantage and there's absolutely no administrative or workflow advantage of using the skin test. And so we think that's -- the majority is here to stay. The same is true also with competitive wins, laboratories, service labs or alternative products are used due to low availability of our product or other where we had some supply issues in Japan, for instance. We're quite convinced that we can move that back very quickly. We -- also, we're on the process now, final process, of moving into China, and these are big markets for these products that we are looking forward to address. So there's a lot of runway, and we don't think that customers, once they see our benefits, are open to -- into going back to the old world.
William R. Quirk - Piper Jaffray Companies, Research Division: Got it. And if I can sneak just one last one in here, Peer. You mentioned that Japan, the academic overall was flattish there. At least one of your competitors has talked about the -- potentially the early stages or resurgence in academic funding over there. Can you just talk to that geography, in general? And then I guess, specifically, kind of how are you're looking at that either in the fourth quarter, maybe more about longer-term 2014, 2015 outlook?
Peer M. Schatz: Yes, it's a good question, and you're putting us a little bit on the spot here because we all know that there is a very significant uptick that could be expected for many of these stimulus funding. The problem is timing and calling that, and we've seen that so often in Japan and we have been burned a few times by expecting lost pass [ph] or this or this to happen. And it's sometimes quite opaque [ph] when and how these things get implemented. So our team tells us here at the moment that they're not seeing any material inflows at all, and there's still a lot of uncertainty if and when this will come. And when we say, look, it's being fantastic and it's now -- seems to be firm. And the answer comes back, nothing is firm at the moment. So we'll believe it when we see the money, and we haven't seen the money yet.
Operator: And the next question is from Mr. Brian Weinstein from William Blair.
Brian Weinstein - William Blair & Company L.L.C., Research Division: My question is on the investments that you've made in bioinformatics. They've been impressive and I think they make a lot of sense. How specifically do you monetize these investments when you have everything integrated? And then how does SAP, your relationship there, continue to play into things?
Peer M. Schatz: Thanks, Brian. And I'm sorry, Tycho, I forgot also the SAP question, so I'll bundle that into the answer here. The business models of selling bioinformatics on a stand-alone basis are difficult. And if you look at the stand-alone business models, it is difficult to see a lot of value generation in this market. The value really comes from creating a platform and a delivery vehicle. And for us, that is not the sequencer. It is actually the assay. So the important thing in the workflow is the assay. The detection can be generic and our assays, for instance, run on most available sequencers. They invent the bioinformatics and we can get a premium on the price of the assay by embedding bioinformatics. On the analysis side, we're simply making it easier to use our interpretation, as well, and also fewer [ph] are getting subscriptions or are able to create a nicer umbrella and framework for the sample team-type [ph] workflow regardless of the detection system. That is critical. We're pretty agnostic as to that. We have a very, very good sequencer coming up, but that's not the differentiating part of our NGS strategy alone. It is really also the availability of this -- of ability to monetize the strength in the workflow management bioinformatics through integration with that chemistry that are universally applicable. We are currently in discussion with SAP on implementation of their HANA technology, which allows ultrafast analyses of unstructured data bases. We've been kind of holding off on that due to -- until we have clarity around the CLC the acquisition which we now have, and with the analysis framework now as part of our organization. We are accelerating these discussions to see how we can use that powerful new technology for our analysis solutions.
Operator: Our next question is from Doug Schenkel from Cowen and Company.
Douglas Schenkel - Cowen and Company, LLC, Research Division: So I had, I guess, a couple of questions on HPV. As you noted, U.S. HPV declined about 10% year-over-year. But if I'm doing the math right, it appears that U.S. HPV revenue is actually stable in Q3 relative to Q2 levels. It may have even improved a little bit sequentially. So could you discuss what's happening today and what you expect to happen moving forward? You talked about pricing in your prepared remarks, but it would be interesting to hear a little bit more about that, as well as what's going on in terms of share and the impact of testing intervals. And I guess, looking ahead, is there a level where you would expect U.S. HPV's revenue to bottom out? Again, it seemed like you had an okay quarter. Does it seem like U.S. HPV revenue could kind of bottom out and stay at the high-20s levels on a quarterly basis?
Peer M. Schatz: On the high-20s levels...
Douglas Schenkel - Cowen and Company, LLC, Research Division: I'm sorry, high like $20 million to $30 million.
Peer M. Schatz: U.S. HPV?
Douglas Schenkel - Cowen and Company, LLC, Research Division: Yes.
Peer M. Schatz: Oh, okay. Well, in general, you're absolutely right. The third quarter definitely had a nice development on HPV on a number of different fronts, and we are quite successful in bringing forward or highlighting our clinical advantages. The publications that are coming out, we're not really announcing those now through the [ph] Street, but I mean, customers are clearly seeing a lot of news come out on alternative testing approaches, PCR or other amplification technologies that are just showing very, very poor results and -- especially in screening programs. So we are in a good position there and are holding our market share quite nicely. Unfortunately, a lot of labs are under cost pressures, so -- which means quite desperate pricing approaches by some of the competitors that we, at least partly have to also accommodate our pricing. And so pricing has definitely come down considerably. Volumes have actually been quite solid. The outlook going forward for the U.S. HPV market is -- were pulling on track. We set x genotyping to have in '14 2/3 of the market, maybe 70%, but that's something we still believe is possible. Now if you look at some of the doomsday predictions we saw 2 or 3 years ago, that's almost twice as high. We definitely see that there will continue, however, to be a decline in revenues, probably through -- at least through '15, and that will probably be at the same pace that we're currently seeing. X U.S. is a totally different story. We are -- because if you don't have liquid cytology as an adjunct test, our test blows away anything else in the marketplace, hands down, because it's an easier workflow, much faster and much easier to perform. And so from that perspective, x U.S. will continue to have a lot of opportunities over the next few years.
Douglas Schenkel - Cowen and Company, LLC, Research Division: And maybe my follow-up related to the last comment, it does look like o U.S. HPV revenue increased by something like $5 million from Q2 to Q3. Is that a sign of demand really picking up along the lines of what you just described? Or is there something along the lines of a tender being pulled forward, or is this truly just a sign of fundamental demand picking up?
Peer M. Schatz: Fundamental demand is definitely quite interesting, but these deals are quite lumpy. There's always been the purchase of an [indiscernible] inventory level [indiscernible] when this is planned or so, it will definitely be something that will be a little bit more volatile on a revenue base. Roland, do you want to comment on that?
Roland Sackers: No, no, more or less exactly what you said. As you said, we had a good quarter. In third quarter, we won a couple of tenders, and typically these tenders start with, also, a larger shipment. It's beginning nevertheless. It is typically tenders going for a few years or so.
Operator: And our next question comes from Derik De Bruin from Bank of America.
Derik De Bruin - BofA Merrill Lynch, Research Division: Just, Roland, when you start going to including stock comp in your '14 guidance, is the $37 million you're looking at in 2013, is that a reasonable number to think about for next year?
Roland Sackers: Excellent question, and it's clearly one of the focus points on our Analyst Day to give you some more insight and break-ups that you have a comparable base, and we all talk about apples to apples for 2014 [indiscernible] compensation but also other charges. So I'll give you more insight on Analyst Day, and happy, as you know, to welcome you there.
Derik De Bruin - BofA Merrill Lynch, Research Division: Okay. Also Roland, can you give us some general split between where Ingenuity was in the different buckets? Just some general guidance on the revenues. Are we going to have apples-to-apples organic current, new [ph] growth rate for the businesses?
Roland Sackers: Yes, as I said on the call, it's really Molecular in Life Science and in Pharma, where just to give a rough indication, it's probably 1/4 in Molecular. And so right now, again, it might be different in a different quarter, 1/4 in the last quarter in Molecular and the rest in Life Science. [indiscernible] together, to be precise.
Derik De Bruin - BofA Merrill Lynch, Research Division: Great. Just one quick one if I can squeeze it in. Peer, what's the turnaround time on your CT/NG test? And when you think about the strategy in the U.S., is the QIAsymphony a moderate or high complexity platform?
Peer M. Schatz: Oh, Derik, the latter one is a very interesting question. If you look at it, the QIAsymphony -- in the modular version that we have today, which is actually the preferred [indiscernible] for LDT customers and people using a broad range of menu, they don't want to have an integrated system. They actually prefer a modular system. But for CT/NG or some other assays, an integrated system is a preferred route, and the symphony was always designed as a modular system with the option to fully integrate the detection. If you would do that, in theory, you could think about a moderate complexity system that seems to fulfill all of the specifications to get there. And so this is putting -- this is definitely a very interesting question you're asking, and some -- one that we're spending time on. In terms of the system, that the turnaround time, [indiscernible] I'd have to get back to you on that one. I don't have that data here right now. But maybe that's one we could ask at Analyst Day. It is definitely a very competitive assay.
John Gilardi: So with that, I'd like to close the conference call and thank all of you for your participation. If you have any questions or comments, please don't hesitate to contact us, and we look forward to seeing you at our Investor event in November. Thank you.
Peer M. Schatz: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Goodbye.